Andrzej Matyczynski: Thank you for joining Reading International's earnings call to discuss our 2018 second quarter results. 
 My name is Andrzej Matyczynski. I'm Reading's Executive Vice President of Global Operations. With me, as usual, are Ellen Cotter, our CEO; and Dev Ghose, our EVP and Chief Financial Officer.
 Before we begin the substance of the call, I'll start by stating that in accordance to the safe harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that we will address in this earnings call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings. We undertake no obligation to publicly update or revise any forward-looking statements.
 In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP measures, which are segment operating income, EBITDA and adjusted EBITDA, are included in our recently issued 2018 second quarter earnings release on the company's website.
 In today's call, we'll also use an industry-accepted financial measure called theater level cash flow, which is theater level revenues less direct theater level expenses. Please note that our comments are necessarily summary in nature, and anything we say is qualified by the more detailed disclosure set forth in our Form 10-Q.
 So with that behind us, Dev will be talking to us about the financial results for the second quarter a little later. But first, I'll turn the call over to Ellen who'll update us on the company's operations for what has turned out to be an exciting quarter for the company. 
Ellen Cotter: Thanks, Andrzej. 
 And before we start our call today, I want to take a moment to mourn the passing of Bill Gould, a longtime Director of Reading International and its predecessor companies. Over his decades of service to Reading, Bill's thoughtful advice, counsel and insights as a Director contributed significantly to making our company what it is today. As a founder of the firm TroyGould, Bill was a pillar of the Los Angeles legal community. I know I speak for many of the men and women of Reading. It has been a tremendous honor and privilege to serve Reading alongside Bill.
 Now let's turn to our second quarter results. First, we appreciate you sending in questions and have tried to address many of your questions in our prepared remarks. 
 We're very pleased with the company's second quarter 2018 results. We set records across many operational metrics. Our second quarter total revenues increased 16% to $84.2 million, which set an all-time record high for any quarter. An amazing and diverse slate of movies from both the major studios and independent film companies, coupled with attractive returns from the execution of our global cinema strategy, drove this record quarterly results. 
 From an income perspective, our consolidated operating income for the second quarter of 2018 was negatively impacted by litigation costs associated with Jim Cotter Jr.'s derivative case. Despite this nonrecurring G&A items, at $8.6 million, Reading's management delivered the second highest operating income we've recorded for any quarter. During the second quarter of 2018, we also continued to enhance the value of our existing assets and invested a total of $18 million in our cinema and real estate portfolios. 
 First, let's look at Reading Cinema business which offers diversification and strategic benefits through operations in 3 countries: the U.S., Australia and New Zealand. Here are some of the highlights from the quarter. 
 At $80.2 million, our quarterly total cinema revenues increased by 19% compared to Q2 2017. Each of our cinema divisions in the U.S., Australia and New Zealand delivered the highest quarter total revenues on record based on their -- based in their native currencies. Avengers: Infinity War, Deadpool 2 and Incredibles 2, all event-driven movies delivered across our Cinema segment. 
 Each of our cinema divisions enjoyed increases in our food and beverage revenue per patron versus second quarter in 2017. This terrific revenue results drove our second quarter 2018 Cinema segment operating income to $12.5 million, which represented a 28% increase over the second quarter 2017. 
 In the U.S., our Cinema division total revenues grew by 33% to $44.4 million due to a 22% increase in attendance, an 11% increase in our average ticket price and a 5% increase in our F&B per patron. Each of these top line items led to the team -- led the team to deliver U.S. Cinema segment operating income of $4.7 million, which is now the highest second quarter on record. 
 Domestically, the Fox and Disney superheroes, including those animated superheroes, propelled the industry box office to be the highest-grossing quarter of all time. These event films drove attendance to our U.S. premium auditoriums, of which we have 7t TITAN screens and 1 IMAX. 
 And particularly noteworthy for our circuit this quarter was the release of some record-breaking documentaries from the specialty film companies. During the second quarter, our Angelika Film Centers, our specialty theaters, as a group, realized significant increases in both box office and attendance, 48% and 35%, respectively. 
 Focusing for a moment on the Angelika in New York City. The cumulative box office engagements at this cinema for RBG, Disobedience, You Were Never Really Here and First Reformed, all represented the highest box office engagements of any theater playing such films across North America. And at the Angelika New York -- and the Angelika New York City was the second highest-grossing theater for Won't You Be My Neighbor. 
 Our U.S. circuit outperformed the industry box office by over 10 percentage points. The superior operational performance was also fueled by the successful execution of our global cinema strategy. The second quarter 2018 was the first full operational second quarter for our fully renovated theaters, including 2 Reading Cinemas in Murrieta, California; in Manville, New Jersey; and 2 consolidated theaters on the island of Oahu.
 Turning to Australia. We were also very pleased with our quarterly total cinema revenues, which increased 7% versus the 2017 quarter to $27.1 million. Despite a slight attendance dip, we increased our average ticket price and F&B revenue per patron each by 8%. These top line items led the team to deliver Australian Cinema segment operating income of $6 million, which is now the second highest quarter on record. Like the U.S., the strong commercial movies drove attendance to our Australian premium auditoriums. These 9 TITAN screens and 32 Gold Lounge or premium screens in Australia generated both higher average ticket prices and higher F&B per patron. 
 Our results also included our new Reading Cinema at Newmarket Village, which features a TITAN LUXE and 2 Gold Lounge screens. This new cinema has been trading for just over 6 months and its attendance continues to grow. The cinema is also generating increased customer traffic for Newmarket Village in which it is located. This is a situation where we're realizing the benefits of being both the operator and the landlord of a cinema at our shopping center. This is a compelling point of difference for our company. 
 In New Zealand. At $8.6 million, our quarterly total cinema revenue represented a slight increase over last year. Our attendance increased. And both our average ticket price and F&B revenue per patron increased versus the same quarter last year. Our New Zealand cinema's box office outperformed the New Zealand cinema industry by almost 3 percentage points for the second quarter on a functional-currency-box-office basis. 
 In Q2 2018, we continue to execute on our global cinema strategy. Our goal is to deliver our guests not only the most comfortable cinematic experience, but also one that features state-of-the-art presentation through a premium auditorium experience with uniquely designed lobby spaces and elevated food and beverage offerings that match our local market. We believe that our initial efforts in this regard are helping drive our performance. It's clear that moviegoers are continuing to enjoy movies in a theater environment as opposed to TV or on another device as long as theater operators provide quality services and experiences. 
 In the U.S. During the second quarter, we completed the conversion to recliner seats of the 6 remaining screens at our 12 screen Reading Cinema in Manville, New Jersey. And on March 30, 2018, we launched our first U.S.-based dining concept at our Reading Cinema in Murrieta, California. The new branded dining experience available in 6 of the 17 auditoriums of that location is called Spotlight where our focus is on serving our guests. 
 During the quarter, we also advanced plans to complete a top-to-bottom renovation at our Consolidated Theatre in Mililani, Hawaii. We will convert 14 screens to recliner seating, add a TITAN LUXE screen and elevate the F&B offer. We closed the theater today for renovation and anticipate reopening for the 2018 holiday season. With Mililani converted, we will have 94 screens or 38% of all of our U.S. screens converted to recliner seating. And we anticipate renovating one other U.S. theater before the end of 2018. 
 In Australia. The second quarter 2018 was the first full operational quarter following the renovations of our Reading Cinemas at Elizabeth in South Australia and Charlestown in New South Wales, each of which now have 2 premium screens with recliners and a TITAN LUXE with recliners. Right now, we're currently working on upgrading our Reading Cinema at Redyard in Auburn. Before the end of 2018, we'll convert 3 screens to our premium offer with recliners and 1 screen to a TITAN LUXE with recliners. The renovation of our theater, Redyard, will sync up nicely with the extensive upgrades we've done to the center, which I'll touch on in a few minutes.
 Our strategic focus on F&B continued across the global circuit and helped drive our record performance. Each of our 3 cinema divisions, on a functional currency basis, set quarterly all-time high F&B revenue records. And we continue to achieve F&B per patron records in the U.S., Australia and New Zealand. These improving metrics are a result of the addition of beer, wine and/or spirits and the upgraded quality and variety of food in certain cinemas. 
 In the U.S., our Q2 2018 F&B revenues increased by 29% over Q2 2017, with approximately 1/3 of that increase attributed to our newly renovated Reading Cinema in Murrieta, which has doubled its F&B revenue compared to Q2 2017. 
 In the U.S., our second quarter F&B per cap at $5.22 set a record for any quarter. The F&B patron at each of the theaters that we renovated in 2017 in Murrieta; Manville, New Jersey; Pearlridge, Hawaii; and Victoria Ward in Hawaii, helped boost our overall circuit result. 
 In Australia and New Zealand, our quarterly F&B revenues, in functional currency, increased by 6% and 12%, respectively, against prior year. Australia and New Zealand achieved record second quarters on a functional currency basis with a F&B per caps of $4.76 and $4.17, respectively. Again, our teams' enhanced focus on their F&B menus are achieving positive results. 
 We continued to improve our guest technology experience and increased our revenue through online ticketing capabilities. During the second quarter 2018, we increased our online net service fee revenue to $1.55 million, which represented a 60% increase from the second quarter in 2017. Led by Avengers: Infinity War and Deadpool 2, online ticket sales had a record second quarter in all countries, exceeding previous second quarter records by as much as almost 170%. We're aiming to launch our Australian and New Zealand-branded ticketing apps before the end of the year. 
 As I mentioned in our prior call, our cinema pipeline includes 3 new Reading Cinemas in Australia, 2 of which have been previously announced: South City in Brisbane and Traralgon outside of Melbourne. We anticipate announcing the third location in due course and bringing all 3 new cinemas online between 2019 and 2020. 
 We've received a question again from one of our stockholders. "How active is Reading in evaluating cinema acquisitions? Are there any particular geographies you target?" Our answer remains the same. In each of our markets, we continue to explore potential acquisitions. These acquisitions could be a single stand-alone cinema or a reasonably sized existing circuit. However, any acquisition must meet our risk-and-return thresholds. We remain disciplined in our evaluation of circuits and our proposed pricing. At the present time, we believe we can achieve better results from taking advantage of opportunities in our own circuit and in newbuild opportunities rather than paying the multiples that are currently being offered for existing circuits. Also, as we are in both the cinema and real estate businesses, we must naturally balance our capital commitments between these 2 sectors and endeavor to do so in a manner that enhances the synergistic combination of our businesses. 
 Turning now to our real estate business. Our second quarter 2018 real estate revenues were $6.4 million, which were favorably impacted by 2 noteworthy events. Firstly, increased rental revenue from additional tenancies at the expanded Newmarket Village, which we completed in the fourth quarter of 2017. And secondly, increased off-Broadway theater revenues as a result of a new license agreement with Audible, a subsidiary of Amazon at our Minetta Lane Theatre in New York City. These 2 events should continue to enhance our real estate revenues going forward. 
 While our second quarter real estate revenues decreased by 8% compared to the same period in 2017, this decrease was largely the result of nonrecurring gains recognized in the comparable period in 2017. First, during early 2017, we successfully resolved our claims in the STOMP arbitration. And the quarter included a reimbursement of our legal fees as the prevailing party in that matter. And secondly, we received, in 2017, business interruption insurance proceeds related to the November 2016 Wellington earthquake in New Zealand. These 2 drivers also caused our second quarter real estate operating income of $1.9 million to be 31% behind the same period in 2017. 
 Let me mention a few real estate segment highlights for the quarter. Starting with Australia. At the end of the second quarter of 2018, we marked the first full 6 months of operation of our Newmarket Village expansion, which includes our new Reading Cinema and about 10,000 square feet of new F&B. 93% of this new retail space has been leased and is now occupied by tenants who are open for business and trading. Since the last quarter, we opened 2 more restaurants, Pomodoro and Chard. To date, all 7 new restaurant operators in the expanded wing are pleased with their business. 
 Following the full reopening of Newmarket and during the last quarter, we continued executing on our new marketing plan, which focuses on engaging creatively with the Newmarket community on an interactive basis. On May 27, 2018, we hosted a one-of-a-kind event, the NewBARKet Dog Festival, designed to tap into Brisbane's enormous dog appreciation community and let our four-legged friends be the main attraction. On that Sunday afternoon, we brought about 3,000 humans and hundreds of dogs to our newly expanded center. This unique event highlights what landlords and cinema operators alike are discovering, that they need to be proactive in creating unique and compelling experiences to attract guests. We understand this and continue to focus on the need for market-specific and curated marketing across our international operations. 
 In late June 2018, we closed on a strategic acquisition related to our Redyard center in Auburn, a suburb of Sydney. For $3.5 million or AUD 4.5 million, we acquired a parcel of land currently improved with a building used by the Telstra Corporation. The property sits almost in the middle of Redyard. Redyard surrounds this property on 3 sides and the fourth side provides terrific frontage on to the busy thoroughfare, Parramatta Road. To do with key location, we believe the property over time will add synergistic value to our center. We can now effectively protect our center sightlines and lock in expansion opportunities. As a part of the transaction, we lease the building currently located on the property back to Telstra through September 2022. This assures us cash flow from this asset as we develop our plan for the complete integration of the property into Redyard. 
 We also just recently completed a full renovation of Redyard's common areas, which haven't been upgraded for over 15 years. I visited Redyard in June and was really impressed with the transformation. Our Australian property team did a great job improving the center for the Auburn community. Our goal now is to drive the quality of the tenants and their rental streams. 
 Our recent public filings discuss the acquisition of 163,000 square foot piece of land in Cannon Park in Queensland, Australia. We received a few questions looking for clarification about this acquisition. First, let me provide some background. When we originally acquired Cannon Park in December of 2015, 1 of the 2 acquired parcels was known as the Cannon Park City Centre. And on that land sits our sixth screen Reading Cinema and ancillary food and beverage synergies. 
 At the time of our acquisition in December of 2015, the former owner, the Dexus Property Group, owned the Cannon Park City Centre in a Queensland legal structure known as Community Title Scheme, which involves individually owned lots and common property owned by all the lot owners. A legal entity known as the Body Corporate administered the Community Tile Scheme. 
 At the time of our original Cannon Park acquisition, Reading controlled over 80% of the lot entitlements in the Community Title Scheme via its ownership of 12 of the 13 lots. The remaining lot entitlements via its ownership of 1 lot were controlled by Charter Hall, who operates a pub on its lot in the Cannon Park City Centre. Immediately following our acquisition in December of 2015, Charter Hall and Reading, together, operated the Body Corporate with Reading in a majority position. 
 Our recently disclosed 2018 acquisition in Cannon Park is essentially Reading taking 100% control of a large portion of the common title via amalgamation of this portion of the common title in the existing Reading-owned 12 lots referred to as new lot 1. Subsequently reducing the shared ownership common title to a small slither between the new master lot 1 owned by Reading and the existing lot 6 owned by Charter Hall. 
 As part of this acquisition of the remaining shares in the Body Corporate, Charter Hall conveyed to Reading its interest in the parcel for AUD 1, and we granted Charter Hall certain access rights to assist its pub operation. Now Reading is able to make unilateral decisions about the Cannon Park City Centre without input from Charter Hall. Over the next 2 years, our plan for Cannon Park include expanding the Reading Cinema by adding premium amenities, including a Gold Lounge offer; adding incremental leasable space in the center; and significantly improving the common areas with a focus on community, connection and the Queensland climate. 
 During the first half of 2018, we continued the repositioning of our ETC in Belmont, a suburb of Perth in Western Australia, and completed the upgrade of our common areas. The Asian-inspired Tao Café opened during the latter part of the second quarter joining our existing restaurants, Dome and Tavolo. 
 Turning to New Zealand. During the first half of 2018, our international property team continued working through necessary planning related to each of Courtenay Central and Manukau. With respect to Courtenay Central, we're taking advantage of the opportunity posed by the necessary demolition of the Tory Street car park as a result of the Wellington earthquake. As we've told you in the past, the demolition gave us the opportunity to rethink the overall master plan for Courtenay Central. There are several components of the plan: a new parking garage, improvements to the existing Courtenay Central center, where we own the Reading Cinema and the Wakefield Street property abutting the Courtenay Central center, on which we're scheduled to build a premium Countdown supermarket in which we have historically used only for grade-level parking. As we've noted in the past, we're exploring additional -- or exploring adding incremental retail and new uses as part of the overall project. Our challenges include evaluating the seismic issues and construction risk and making sure we can achieve our investment returns. This is an attractive site in a national capital city, and we'll be deliberate in our approach to generate the greatest long-term value. 
 Regarding our 2 adjoining parcels in Manukau, New Zealand. We continue to work with our neighbors in the Southern Gateway Consortium on the infrastructure works required by the Auckland City Council to be completed before any development proceed on any unimproved property. We also note that the industrial real estate market in this area of New Zealand remains strong. We'll have a better sense of timing for each of these New Zealand projects in the next quarter. 
 Now turning to the U.S. Construction of our 44 Union Square project in New York City continues. During the second quarter, we completed about 90% of the concrete superstructure included in the pouring of all floors to the top 6th floor. We completed the fabrication and delivery to the United States of the remaining portions of the iconic Dome grid shell and continued with the installation of the mechanical, electrical and plumbing systems. 
 In mid-May 2018, the Manhattan DA's office leveled certain allegations against Parkside Construction Builders Corp., our concrete contractor, which adversely impacted our project. We've replaced Parkside and have made every attempt to minimize the adverse impact of this event on the project's schedule and budget. An additional challenge we encountered during the quarter related to the delays due to the condition in the historical materials of our landmark facade walls. Reading's development and construction teams explored the most cost effective and responsible way to approach the situation and some of the work specified by the engineers required immediate attention. And other conditions represented an opportunity to provide a long-term solution to existing conditions that were likely to require additional capital investment in the foreseeable future. 
 In July, we signed a contract with the successor to Parkside to complete the remaining concrete superstructure work and zeroed in on a permanent solution to the situation regarding the historical façade. As of this call, the project is advancing toward completion without further delay, although the dual challenges of solving the unforeseen Parkside termination and designing a new structural system for the 90-year-old historical façade have impacted our construction schedule. We're now targeting the first quarter 2019 as the period when we'll be ready for the commencement of tenant fit-out.
 Let's turn to our leasing activities. 44 Union Square is in the Midtown South office leasing market. According to our leasing agents, the Midtown South office market had a strong quarter with 2.7 million square feet being leased. And the Flatiron Union Square submarket within the Midtown South market captured the greater share of that amount. Over 1.1 million square feet or 41% of the market's activity was leased during Q2 2018. The 3 most significant deals occurred within blocks of 44 Union Square: Facebook signed a lease for 370,000 square feet at 770 Broadway, Discovery Communications leased 362,000 square feet at 230 Park Avenue South and New York University signed 125,000 square feet at 105 East 17th Street. 
 During the second quarter of 2018 and through today, we're engaging with certain global technology brands to lease the office space at 44 Union Square. We believe that the global companies we're engaging with understand this one-of-a-kind opportunity to brand the powerful demographic residing in and around Union Square. The interest of these brands and the scope and extent of our interaction with them has intensified as construction has progressed on the upper floors. 
 During Q2 2018, our leasing agents also continued dialoguing with potential retail tenants. However, we've remained focused on the leasing of the upper floors as certain potential credit office tenants have expressed interest in also leasing the second floor of our project. Accordingly, we're continuing to engage with potential tenants while preserving the flexibility to achieve an optimal outcome. We continue to believe based on where we are today that this project will deliver significant value and achieve our expectations on which we greenlighted its development. 
 On June 18, 2018, the judge in the Nevada District Court presiding over James Cotter Jr.'s derivative claims dismissed the case on summary judgment without trial. This means that all claims against all Reading Directors sued by James Cotter Jr. have been dismissed with prejudice. Accordingly, the trial scheduled for July 9, 2018, has been vacated and the matter moved to appeal. A final order is now being prepared. It's anticipated that Jim Cotter Jr. will likely appeal the District Court's decision as he has already appealed the District Court's decision on December 28, 2017, which dismissed with prejudice all claims against Directors Judy Codding, Bill Gould, Ed Kane, Doug McEachern and Michael Wrotniak. It is also anticipated that this further dismissal will result in a material decrease in nonsegment legal expenses for the remainder of the year. 
 Now I'll turn the call over to Dev for a financial review of the second quarter. 
Devasis Ghose: Thank you, Ellen, and good evening. 
 Now I'll discuss the financial results for the second quarter ended June 30, 2018. Consolidated revenues for the second quarter of '18 increased by 16% to $84.2 million. This was primarily driven by: one, the U.S. Cinema group's significant increase in attendance and total spend per person; two, the opening of our new state-of-the-art 8-screen Reading Cinema in Newmarket Australia on December 14, 2017; and three, increases in average ticket prices, ATP, in our U.S., Australia and New Zealand cinemas. This was offset by a small overall decrease in revenue in the real estate segment for the quarter. The decrease was attributable to 2 factors: business interruption proceeds received in the second quarter of 2017, and our live theater revenue also decreased compared to the prior year due to the recognition of settlement payments related to the STOMP arbitration in 2017. 
 Our revenues for the first half of 2018 increased by 13% or $18.2 million to $160 million. Net income attributable to RDI common shareholders decreased by $14 million to $5 million for the second quarter of 2018 and by $14 million to $8 million for this first half of the year. For both the quarter and the 6 months ended June 30, 2018, the decrease against the prior year was principally due to a onetime gain on insurance recoveries of $9.2 million and a $9.4 million gain on the sale of assets that was recognized for the quarter ended June 30, 2017. Additionally, there was a decrease in nonsegment G&A expenses in 2018. For the quarter, EPS decreased by $0.60 to $0.22 for the prior year quarter. EPS for the first half of 2018 decreased also by $0.60 to $0.35 from the prior year period. 
 Our nonsegment general and administrative expenses for the quarter and 6 months ended June 30, 2018, compared to the same period of the prior year increased by 23% or $1.1 million and 26% or $2.5 million, respectively. This increase is mainly due to higher legal expenses incurred on the derivative litigation, the Cotter employment arbitration, other Cotter litigation matters, and higher compensation costs due to headcount and the timing of annual raises as well as the timing of recording increases in variable compensation costs. We believe that our defense costs with respect to the derivative litigation will be substantially lower, reduced, that is, by the grant of summary judgment in favor of all of our defendant Directors by the Nevada District Court prior to trial. Going forward, the costs with regard to this matter will, at least in the near term, be limited to the defense of Mr. Cotter Jr.'s appeal of the Nevada derivative District Court's determination. 
 Income tax expense for the quarter and 6 months ended June 30, 2018, decreased by $3.9 million and $4.4 million, respectively, compared to the prior year periods. The change between 2018 and 2017 is primarily related to lower pretax income; the reduction of the U.S. statutory corporate tax rate as a result of the new tax act; foreign tax credits, partially offset by a change due to higher overseas tax rates; and the nontaxable insurance proceeds received in 2017. 
 Shifting to cash flows. Our net cash provided by operations for the 6 months ended June 30, 2018, was $13.3 million, which is a $7.3 million increase from the comparable period in 2017. This was primarily driven by a $5.9 million higher cash inflow from operating activities as well as a $1.4 million decrease in net operating assets. Cash used in investing activities during the first 6 months of the year was $43 million, mainly related to our ongoing real estate development and cinema refurbishment activities. During the 6 months ended June 30, 2018, we repaid $21.8 million of borrowings and took on additional borrowing of $51.3 million. 
 Turning now to our financial position. Our total assets increased by $12.7 million to $435.7 million. Our liquidity position remains strong with $12.7 million of cash on our balance sheet as of June 30, 2018. Of our total cash balance amount, $3 million and $3.5 million were held by our Australian and New Zealand subsidiaries, respectively. We used the amounts that we received from our cinema and real estate business, which is generally received in advance, to pay down our long-term borrowings and realize savings from lower interest expense. We then settle our operating expenses generally with a lag within traditional trade terms. This generates a working capital deficit, which is a real positive for the company. We maintain our cash investments and capital structure so that we are able to meet short and long-term obligations for our business while maintaining financial flexibility and liquidity. 
 As of June 30, 2018, there was approximately $109 million of additional capacity under our borrowing arrangements in the U.S., Australia and New Zealand with $59.2 million of that $109 million being unrestricted capacity. Our overall global operating strategy is to conduct business mostly on a self-funding basis, except where it is organizationally and economically better for us to move funds between jurisdictions where we do business. As of June 30, 2018, we have total gross debt outstanding of $161.8 million. And our debt-to-adjusted-EBITDA ratio, excluding debt allocated to facilities under development or construction that is not generating any EBITDA, which continues to be strong at slightly over 2x coverage. 
 Our Minetta and Orpheum Theatre loan will become due on November 1, 2018. Currently, we are working to finalize a new 5-year loan with our existing lender. 
 And with that, I'll turn the call back to Andrzej. 
Andrzej Matyczynski: Thanks, Dev. 
 First, I'd like to thank our stockholders for forwarding questions to our Investor Relations email. We, as usual, are very pleased with the number of inquiries. While we've endeavored to answer a majority of your questions in a comprehensive overview that both Ellen and Dev have given, we've compiled a set of questions and answers that represent some of the ones that we have not addressed and the recurring things that were emailed to us. As always, we are available after the webcast to address any additional questions and encourage you to continue reaching out. 
 The first question. You've done well with raising prices in U.S. theaters. Do programs like AMC's Stubs A-list change the way that you look into future as it relates to raising price? Ellen, can you handle that one? 
Ellen Cotter: In the U.S., we make each of our pricing decisions on a theater-by-theater basis and depending on the various amenities offered in their particular market. And we're continuously monitoring pricing for possible adjustments, up or down. But one constant strategic theme for us in the U.S. in recent years has been to price our tickets in a way that gives our guests real value for their money. Today, we're comfortable with our U.S. circuit pricing. However, that's not to say we aren't monitoring currently available subscription programs to assess their impact on the market and to determine whether Reading should in fact adopt some variation of this model into the future. 
Andrzej Matyczynski: Thanks, Ellen. Another question regarding do we track what percentage of the attendance has MoviePass since they lowered their price to $10 a month? Have you seen any negative impact in the recent weeks from the changes to MoviePass' terms of service recently implemented? Ellen? 
Ellen Cotter: First, let me mention that our acceptance of MoviePass is limited to the United States. It had no impact on our Australian and New Zealand operations. In the U.S., we have a general sense of the level of MoviePass attendance at each of our theaters. However, because MoviePass guests use their cards like another credit card, Reading is unable to track its use. Furthermore, we don't have a formal agreement or any other type of financial arrangement with MoviePass. With respect to the question about recent changes to MoviePass service, I'll note that the box office of our U.S. circuit in July and the beginning of August has been well over 2017 levels and appears to be exceeding the industry box office. So as I mentioned earlier on the call, I think that the strength of Reading's U.S. circuit has been due to: one, the strong film product coupled with an overwhelmingly positive reception to our renovation strategy. 
Andrzej Matyczynski: Thanks again, Ellen. Another question is can we provide update on Reading's buyback program? Why is the company not being more aggressive in purchasing its shares? 
 I think I can handle that one. We maintained a balanced approach to capital allocation. We will continue to work toward our goal of directing capital to areas where it can drive the greatest long-term value for our stockholders through strategic investments in our cinemas and real estate development project and returning capital directly to stockholders. In March 2017, our Board of Directors authorized a stock repurchase program to repurchase up to $25 million of Reading stock. We remain committed to the buyback program, which we believe demonstrates our confidence in the business and commitment to returning capital to stockholders. To date, we have purchased 433,361 shares at an average cost of $15.97 per share, excluding any transactions costs, for a total of $6.9 million. 
 Our next question. With the expected maturity of the U.S., New Zealand and Australian loans in 2019, are they going to be refinanced prior to adding to Reading's working capital deficit by allowing them to be classified as additional current maturities of long-term debt? Dev? 
Devasis Ghose: We are encouraged with the discussions that we've been having with our banks with regard to future terms for our credit facilities in the U.S., Australia and New Zealand that mature in November and December 2019. We are working towards having replacement credit facilities in place before the end of 2018 and before these loans become current. 
Andrzej Matyczynski: Thank you, Dev. 
 That marks the conclusion of the call. We are available for any follow-up calls, so please do not hesitate to reach out. We will also be hosting our 2018 Annual Stockholders' Meeting on November 7, 2018. We will be announcing the location in the next month. Once again, we appreciate you listening to the call and wish you a good evening, good day.